Operator: Good afternoon, ladies and gentlemen, and welcome to Kemper's Third Quarter 2018 Earnings Conference Call. My name is Brendan and I will be your coordinator today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, the conference is being recorded for replay purposes. I would now like to introduce your host for today's conference call, Michael Marinaccio, Kemper's Vice President of Corporate Development and Investor Relations. Mr. Marinaccio, you may begin.
Michael Marinaccio: Thank you, Brendan. Good afternoon everyone and welcome to Kemper's discussion of our third quarter 2018 results. This afternoon, you'll hear from Joe Lacher, Kemper's President and Chief Executive Officer, Jim McKinney, Kemper's Senior Vice President and Chief Financial Officer; and Duane Sanders, Kemper's Property & Casualty Division President. We will make a few opening remarks to provide context around our third quarter results and then we will open up the call for a question-and-answer session. During the interactive portion of the call, our presenters will be joined by John Boschelli, Kemper's Senior Vice President and Chief Investment Officer; and Mark Green, Kemper's Life & Health Division, President. Before the markets opened this morning, we issued our earnings release and published our third quarter earnings presentation and financial supplement. In addition, we filed our Form 10-Q with the SEC. You can find these documents on the Investors section of our website at kemper.com. Our discussion today may contain forward-looking statements. Our actual results may differ materially from these statements. For information on potential risks associated with relying on forward-looking statements, please refer to our 2017 Form 10-K, as well as our third quarter 2018 Form 10-Q and earnings release. This afternoon's discussion includes non-GAAP financial measures that we believe are meaningful to investors. In our financial supplement, presentation and earnings release, we have defined and reconciled non-GAAP financial measures to GAAP where required in accordance with SEC rules. You can find each of the documents on the investor section of our website at kemper.com. Finally, all comparative references will be to the third quarter of 2017 unless otherwise stated. I'll now turn the call over to Joe.
Joe Lacher: Thanks, Mike, good afternoon everyone, and thank you for joining us on the call. Before we get into the specific discussion of our results, I want to give you some overall color commentary. We had a great quarter and one as an organization that we’re particularly pleased with. We had strong earnings and significant organic growth particularly inside our specialty auto business with double-digit increases in policies in force. We also had a series of one-time items this quarter that impacted results. I mentioned in because there are examples of our commitment to look every aspect of our business in order to unlock value. There weren't merely fortuitous. They were a testament to our focus specifically our relentless execution and looking for ways to create that value. We did all of that while closing a major transaction by acquiring Infinity and paying close attention to all phases of its integration. The quarter had a lot of moving parts and our team did a great job juggling all of those balls and producing great financial results. I want to pause for a moment and thank all of our employees for their dedication and hard work that enabled this success. Now turning to the presentation and indulge me for a minute, I am going to talk through a couple pages we review before. I know we have a number of new or potential investors listening and it's useful to remind everyone of our strategy and focus to value creation. In the rest of the presentation, you’ll see evidence of our successful execution on that strategy. Beginning on Page 3, Kemper is a leading specialized multi-line insurer providing specialty auto, preferred home and auto, and basic life action and health products. We continue to maximize the benefits of our diversified platform to create long-term value for our stakeholders. Our insurance subsidiaries are highly rated. We have distribution network consisting of 2,200 carrier agents and approximately 30,000 independent agents. Continuing to Page 4. Our long-term perspective continues to focus on building Kemper’s overall value by leveraging our competitive advantages while building core capabilities to earn consistent returns and increase book value per share. Our strategy remains focused on consumer related businesses and growing an underserved niche markets with limited competition where our unique underwriting claim distribution and analytics expertise provides us with a sustainable competitive advantage. Now turning to Page 5. I am excited about another milestone in our transformation, the introduction of our new brand elements. Our new visual identity, brand positioning and architecture build on the existing power of our businesses, it helps to communicate the core of who we are, our strength stability, and our expertise in serving the unique needs of our customers. Our previous brand architecture had over 20 consumer facing trade names. Our teams are working hard with so many identities we couldn’t leverage much of anything through this fragmented approach. Unifying around the common brand architecture makes it simpler and easier to focus our employees on our target customers, on building competitive advantages, on attracting and retaining talent and on helping us do what we need to do to win in the marketplace and ultimately on creating value for our shareholders. It's not just about a logo. It's an enabler. We have a thoughtful implementation and plan on this appropriately transitioning legacy brands over the next 6 to 8 months. We don't anticipate any material disruption and the cost to make this change were anticipated and included in the transaction integration expenses. As I stated earlier, we closed on our acquisition of Infinity on July 2nd. Please turn to Page 6 and I'll remind you on the transaction rationale. It's squarely aligned with our overall strategy of ability strength in niche and underserved markets. By combining the capabilities and strengths of our two companies, we've created a leading specialty auto franchise. Beginning the benefits of the larger platform, including stronger claim capabilities, enhanced process management strengths, improve distribution breadth, the ability to attract and retain top talent and a higher revenue base to absorb fixed costs. This helps to serve our customers exceptionally well and win in the marketplace. On Page 7, you'll find an update on our integration. We had integration teams formed within days are announcing the transaction to ensure we would deliver best-in-class capabilities for the combined organization. Upon closing, we immediately began executing on their plans. We've already seeing meaningful benefits and expect more to come. I'll take this opportunity to highlight a few of these benefits. First, the Legacy Infinity leadership team remains highly engaged and in considerable depth and breadth to our platform. Our claim departments are already integrating and leveraging our combined strengths. We were in the process of using our data to enable us to better develop, price and manage our products. The transaction rationale is playing out as we expected. Last point I'll mention is that our synergy realization remains on track and there is no change to the estimated projections we provided in February. That said, to-date we realized some initial synergies quicker than we expected. We've always anticipated that we need to temporarily increase some expenses to unlock certain longer term synergy benefits. You can expect some lumpiness in the expense line to occur over the next several quarters as you make some short-term investments to fully realize those synergies, but the end total isn't projected change. Before we look at Page 8, let me take a moment to briefly talk about what we mean by as adjusted. The detailed reconciliations in the back of the presentation, the numbers as reported don't haven't Infinity's historical information and they do have purchase accounting entries particularly related to VOBA running through them. And as a result, it's very hard to see underlying business trends. So when we discuss as adjusted, we're adjusting for purchase accounting and adding historically Infinity information to make the trends more visible and understandable. Now let's turn around attention to Page 8 to review the highlights of our third quarter. Overall, we had a strong quarter reporting net income of $92.2 million $1.40 per share as reported or $131.7 million or $2.01 per share as adjusted. Adjusted consolidated net operating earnings per share increased from $0.85 per share to a $1.59 per share as reported. Earnings premiums increased 76% in the quarter to $1,053 million or 12% on an as adjusted basis, primarily driven by volume growth within our specialty auto business. In the P&C segment, we had overall strong profitability and 15% increases in policies and forth for the specialty auto business. We saw an improved underlying combined ratio on our preferred auto business. Please remember when you look at the third quarter results, there is a seasonality impact. The third quarter historically sees the lowest auto combined ratios. In life and health, we had very stable earnings and predictable cash flows. It's important to note that a key part of our strategy is a diversification benefit that these businesses provide. Our investments continue to be a strength and our balance sheet capital and liquidity remains strong. With that, I’ll hand the call over to Jim to discuss our consolidated financial results in more detail.
Jim McKinney: Thank you, Joe, and good afternoon. I'll start on Page 9 and review our consolidated third quarter results and then briefly touch on our life and health results. Overall, we had a successful quarter. Net income was 92.2 million or $1.40 per share as reported up from 47.7 million or $0.92 per share last year. On an adjusted basis, net income was a 131.7 million or $2.01 per share up from 62.7 million or $0.96 per share. Adjusted consolidated net operating income was up a 135% to a 105 million, or $1.59 per share for the quarter compared to $44 million or $0.85 per share. On an as adjusted basis, adjusted consolidated net operating income was a $144 million or $2.20 per share, up from 59.5 million or $0.91 per share. Please note that on a reported basis, our rolling 12 month per ton average shareholders' equity was 9.7% up from 5.7%. A significant improvement in this and the measures previously mentioned from last year's third quarter resulted from improved underwriting results, a lower level of weather related losses, disciplined expense management and tax reform. With the acquisition of Infinity, earned premiums increased 76% from last year or $455 million in the quarter to 1.1 billion on an as reported basis. On an adjusted basis, earned premiums increased 12% or a $100 million. The increase in as adjusted earned premiums is largely due to continued market shares gains occurring within our specialty auto business where underwriting margin exceeds target profitability ranges. Book value per share excluding unrealized gains on fix maturities ended the quarter at $44.22 up 26% from $35.87 last year. $7.67 or 82% of the increase was driven by the issuance of stock associated with the Infinity transaction. The remaining increase was due to net income earned over the previous 12 months. This represents roughly a 5% increase in book value. On the bottom of the slide, you’ll note that we continue to profitably grow our P&C policies in force while maintaining strong underlying loss and expense ratios. We have received a number of questions which suggest purchase accountings impact on the expense ratio in particular the value of business acquired or VOBA is a confusing topic that has the potential to be misinterpreted. The numbers circled in red highlight the impact of purchase accounting adjustments. During the period, purchase accounting had a 5.3 percentage point impact on the expense ratio. Related to VOBA, purchase accounting requires you to take the projected earnings from the premium acquired for the remaining life of the current policy period and place it on the balance sheet as an asset. This asset has been amortized over that period against the corresponding revenues and that result is the creation of short-term non-cash expense noise with no change to book value. Therefore, we recommend focusing on the as adjusted financials as this impact is temporary. It will affect our fourth quarter financials as well and then have a minimal impact on future quarter results. Moving onto Page 10. Here we isolate the key sources of volatility in our earnings. In the highlighted section at the bottom of the page, you can see that underlying operating performance improved 33% or $0.35 per share for the quarter. This improvement is largely driven by strong growth and underwriting margin expansion within specialty auto. We are pleased with these results and look forward to continuing to grow our operating income and booked value per share. Our life and health division results are on Page 11 of the presentation. On the top half of the page, you can see the stable revenue trend. Earned premiums continue to show a modest growth increasing $3 million to $158 million while net operating income improved to $27 million. The life and health division overall continues to provide stable and diversified earnings and cash flows. I'll turn the call over to Duane to discuss the results of our P&C division.
Duane Sanders: Thank you, Jim, and good afternoon everyone. I'll begin with a discussion on specialty auto on Page 12 of our presentation. I will discuss this business on an as adjusted basis including Infinity's results in all prior periods. Earned premiums increased to $655 million for the quarter up a $101 million or 18% over the third quarter of 2017. The top line growth was primarily fueled by higher volume as policies in force increased 15%. More importantly, this growth was achieved profitably as reflected by the strong underlying combined ratio. Specialty autos underlying combined ratio remained in the low 90s. The business generated attractive returns due to modest loss trends, rate actions, more scale and more scale than in the past. With a combination of Infinity, specialty auto is expected to further enhance the value we provide to all our stakeholders. As you can see on Page 13, our preferred auto business continues to show improvement. While our underwriting results remain below target profitability goal, we're seeing improved underwriting results within over 1.5 point improvement in the underlying combined ratio. As we shared previously, we remain focused on improving this business and we're seeing early signs of our continued work efforts. Turning your attention to homeowners, the underlying combined ratio was 91.7% about 6 percentage points higher than last year, driven primarily by two items. We had a single large fire loss resulting from a lightning strike, which was approximately $3 million that contributed about five points and our seated premium for our aggregate CAT treaty contributed an additional three points in the loss ratio. We remain focused on all aspects of this business product management, underwriting, and clients to bring it to an appropriate profitability level. I'll now turn the call back to Jim.
Jim McKinney: Thank you, Duane. Turning to investments on Page 14. During the quarter, we've largely completed the repositioning of the Infinity portfolio. The portfolio remains diversified and highly rated as demonstrated on the bottom left of the page and we've broken out the portfolio by investment type and provided the fix maturity ratings. The portfolio is conservative in nature that approximately 80% comprised of fixed maturities and short-term securities and of those over 90% are investment grade. Looking at the chart on the upper left, you can see the investment performance over the past five quarters. This quarter we delivered $92 million in net investment income. The core portfolio produced higher net investment income primarily due to the addition of Infinity's investment portfolio. The alternative investment portfolio generated income of $13 million which is slightly outperformed our expectations. Overall, in the third quarter, the portfolio delivered an attractive pre-tax equivalent annualized book yield of 5.2%. This is down from 5.8% last year primarily due to mix shift resulting from the addition of the Infinity's portfolio. On Page 15. We highlight our strong capital and liquidity position. At the end of the third quarter, we had a debt to total capitalization ratio of 26.8% and expect to revert to the low to mid 20s within the next nine months. In the chart in the upper left hand corner, you can see our parent company liquidity. At quarter end, we had $91 million in cash and investments, and $300 million in borrowings available from our revolver. Looking at the chart in the upper right on Page 15, you can see our insurance group remains well capitalized. If you look at the bottom left of the page, you can see that our businesses continue to generate substantial operating cash flow that are expected to grow overtime. With that, I’ll turn the call back to Joe for some closing comments.
Joe Lacher: Thanks, Jim. So to wrap up, the strong results this quarter are further evidenced of the significant progress we've made on our transformation and the recent refresh of our brand is another milestone in that journey. We continue to focus on effective execution of our strategy. Closing of the Infinity transaction solidifies our commitment to build strength in our core businesses and positions us as a leader in the specialty auto market. We've made tremendous progress on the integration and look forward to fully realizing the benefits of the powerful combined organization. Now, we’ll turn the call back over to the operator to take your questions.
Operator: [Operator instructions] Our first question comes from Greg Peters with Raymond James. Please go ahead.
Greg Peters: I wanted to circle back the growth you’re reporting in auto and the improvements in the underlying combined ratio are noteworthy. I was wondering if you could give more color around post-Infinity, what states are growing in? And perhaps provide some perspective on the competitive environment in these states. And then I have a follow-up.
Joe Lacher: Sure Greg. This is Joe and I’ll take a crack at it started in and ask Duane to tag team with me. We’re seeing growth across most of these states we’re in. The bigger states obviously had bigger dollar growth because they are bigger. So California, Texas, Florida present the biggest dollars of growth, but the majority of states either company, we’re in are actually seeing growth and we’ve got fairly attractive combined ratio in virtually all of the jurisdictions where we’re doing business.
Greg Peters: Yes, go ahead, Duane.
Duane Sanders: And I was just going to -- Joe is exactly right. We’re continuing to find opportunities across most of the states where we’re writing business. Obviously, in those states where we’ve got better penetration, we’re continuing to get some acceleration behind it. But as Joe mentioned, we’re know -- we're writing more business in this state where we have got some good margin.
Greg Peters: And maybe as a follow-up just to the environment on auto side, you can talk for a second about home owners. It's been getting a lot of attention in the market place a number of other companies have reported an uptick in underlying loss cost. And I am just curious, what you’re experience is? What your view on the market is? And how you think that line could improve over the next three years?
Joe Lacher: We can -- as I stated in early commentary, we continue to focus on that, on that part of our business. We’re certainly following the industry and looking at trends, that is a much smaller portion of business that we have, we’re not necessarily spread out as many as the competitors are. So, most of our steps are little more concentrated, and it's reasonably firm yet and we're in the middle of rolling out our new product offering and continuing to get right. We're not where we need to be, but again remain committed to it and continue to work that side of the business to get its worth as profitable.
Duane Sanders: The fact that there's still a little bit of a hard market running on there, Greg, gives us the comfort that we're going to continue to see folks working towards improving profitability, which will make it easier to make that happen.
Greg Peters: Right, I guess and thank you for Slide 9 and providing us the clarity on the expense ratio. Just to circle back the final question I have just to, Jim, I think you said the fourth quarter will see another blip in the expense ratio, but then beginning the first quarter next year things to begin to revert back to normal. Is that the 20 to 21 range? Or could you see a drop below that?
Jim McKinney: Yes, we want to be careful in terms of very specific commentary on our expense ratio other than to say, I do anticipate it to revert back to kind of the normal ranges that you've seen our combined businesses achieved together. Plus the synergy aspects that you would expect to kind of run through these numbers between now and over the next year and a half. That said, I would expect the impact to be specifically from a VOBA perspective, about half of the impact that it was this quarter. From a net income basis that was about $40 million. And so, in a one way to kind of think about next quarter would be about half of what it is now. That would be equivalent to what you've seen kind of interest for as well as the 8-K that we put out in terms of what was going to happen from VOBA amortization perspective.
Joe Lacher: I have a benefit of as of not being the accountant in the room. The VOBA piece seems to be and everybody tied up in their shorts. I'll give you the way I think about it. When we bought the business, all of the enforced premium the profitability associated with that, we had to put on the balance sheet. That will amortize itself in through the expense line as those policy periods mature. So some of them might have had a day left on their policy period. Some of them might have had five months in 29 days, if they were six months policy. Some of them might have had 364 days left, if they were 12 months policy. And as those policy periods expire, that VOBA goes away. So Infinity had a fair number of 12 month policies than a lot of six months policies. So that works its way down. So Jim gave you that number that the first quarter was a doubt 40, the second quarter will be about 20. So, you can watch yourself working down. It just works off as those policies mature and renew. So, there's not rocket science around it. That's all it is. And then there's other stuff. We got other intangibles that amortize in, but they're much more modest dollar amount. And then you get normal kicking around expense activity. That's really the egg through the snake, you got to think about and it's just those policy periods finishing your term.
Greg Peters: And just to follow on to that, Joe. Is there going to be some of the restructuring or integration expense running through that expense ratio component? Was it at all trade the mobile?
Jim McKinney: Yes, no. Sorry, this is Jim. Big picture that's all carry below line, that's essentially where we had forecasted it, and that is aligned with our policies. The key the way that we think about that is what's above line are those items that are specifically related to what's being kind of ongoing run rate of the business. The unique kind of one-off things that would be in particular how you bring the organization or other, it would necessarily be included inside our pricing early on, inside how we price the Infinity transaction where we thought as a fair deal be include there. But it wouldn’t be in the ongoing kind of segment results in whether or not that business is profitable or not from that perspective. And so, we really try to segment where those expense lines, fall by whether or not there is something that’s kind of cored to that business or if it's more strategic activity that the organization has taken.
Operator: Our next question comes from Adam Klauber with William Blair. Please go ahead.
Adam Klauber: Couple of different questions. Preferred auto showing good trend, is there a room to go in that line of business?
Joe Lacher: In terms of room to go, I am assuming you’re talking about margin.
Adam Klauber: Yes, margin.
Joe Lacher: Right, we’re -- I’d say we’re on the frontend of that. We continue to push the rate that we’re able to get. And again as I mentioned, we’re rolling out new product in all of our states through our new program. So, we continue to look for those opportunities and continue to try to push that.
Adam Klauber: Could you talk about loss trends specifically the non-standard? Are you seeing better frequency is that actually negative? And how severity now compared to a year ago?
Duane Sanders: This is Duane. Frequency, I’d say is continue to remain close to flat, there is certain covers there might be slight uptick with by and large. It's fairly flat. Severity again is -- severity again I think depending on cover has some movement in it. I would tell you that based on our mix of business and in terms of the covers that we write with limits write, we probably see a little less than that which you might see in some in the industry a large. But -- so, there is some movement again manageable, we continue to watch it and respond accordingly.
Adam Klauber: Thanks.
Joe Lacher: Actually, you've commented a little bit Duan on the BI increases because I want to make sure we have a clarity on that one.
Duane Sanders: So, as Joe has pointed out on the specific covers, there’s a little bit of BI side in terms of frequency movement to begin. It's -- we continue to watch it and respond accordingly.
Adam Klauber: And then on the technology, have you made decision on the policy management system yet?
Duane Sanders: We largely had internally and I am going to avoid commenting on it here just because I am not positive what we’ve communicated and where we are externally with venders and alike. And I not sure -- I am not just not sure what the status is and what we've buttoned up on all of those negotiations, if they are not at the point where we think they are economically will change your mind.
Adam Klauber: And then from a capital standpoint, I think you’re growing a lot of and then obviously require capital, but you’re also generating capital. Do you see as you get into '19, '20, do you get in a point where you’re generating access capital? Or do you think you will need your capital manly to support your growth?
Joe Lacher: I think I would bifurcate that in the couple of components. I think the first component is when we look out over the next kind of quarter to three quarters. We've talked about a prioritization to return to a more normalized level of debt to capital. So I would suggest that our second priority other than making sure that we can have all the capital that we need to organically grow the business in a strategic blueprint is there, that's probably the number one thing. Assuming that we continue to grow at this pace or in margin that I think you would see us kind of taking a look at where we're at kind of whether it'd be second, third and fourth, and we would have additional commentary on that. But my focus right now is, is really kind of over the next six to nine months and getting and maintaining the state that we have. And then assuming that we do those things, then we get to have some of the exciting discussions that you're talking about in terms of additional capital management or other items for us to think through.
Operator: Our next question comes from Bob Glasspiegel with Janney Montgomery Scott. Please go ahead.
Robert Glasspiegel: Good afternoon, and thanks for the English translation Joe. That was hopeful. The October couple of hits from Michael in the financial markets, any commentary and exposure there?
Joe Lacher: I'm happy to commentary. Michael, first and foremost kind of our hearts go out to the people who've been impacted by that. We're doing everything that we can on our side where we have individuals impacted to make sure that we take all appropriate actions to do what we can there. From a financial perspective, right now it looks it's a reasonably small number for us. I would say consolidated and top of the house, it appears to be a number that's below $10 million and kind of with inside the expectations for what normal CAT activity might do for us for the fourth quarter.
Robert Glasspiegel: And just financial markets and alternatives, any exposure to what happened in October?
Michael Marinaccio: We're not seeing anything to speak up. There's noise on things, but nothing that we this point described is really noteworthy.
Robert Glasspiegel: So, you've avoided two catastrophes. That's good to hear.
Michael Marinaccio: It had to happen eventually Bob.
Robert Glasspiegel: Non-CAT whether in homeowners, hit a few people, you mentioned one lightning strike which maybe can qualify that, but you're not seeing a broader trend and some others have seen?
Michael Marinaccio: No, we're not. The one lightening spike was a weird wacky item. When we go through from an underwriting perspective, we write the rest again every day. And sometimes as an insurance guy claims happens, that doesn't trigger anything with us. And as we found in other cases, we have a modest sized book and it's just at times to when you popped a little more than the rest of the world because of some concentration issues and at times a little less. And right now, we're getting a little less.
Operator: Our next question comes from Paul Newsome with Sandler O'Neill. Please go ahead
Paul Newsome: When I asked about the investment portfolio particularly it's impacted on the life insurance business. Are we close to a place on the interest rate side where we could see like a less margins interest rate spread compression given the higher interest rates? Are we still ways off from a portfolio return perspective for the life insurance business?
John Boschelli: Paul, this John Boschelli. How are you? Thanks for the question. The interest rate environment especially even in October has moved very nicely for us. And with that in mind, basically, we have our cash that we're reinvested, and so that's going to be a slow slog of reinvestment concepts. But you know if this reinvestment rate continues, it should be a positive trend.
Joe Lacher: Not to be silly, but up is better down. So, we're moving back in the right direction.
Paul Newsome: Is there money above the portfolio rate from your perspective?
John Boschelli: I mean it really depends, right, Paul in terms of where things are coming off. In general, I would suggest that the portfolio is slightly higher than where new money rates are, but it's really dependent on which securities are maturing and which securities we're putting on. In general though as John mentioned, I think we're kind of at a baseline potentially the environment holds could be a slight favorable. But I would expect and kind of think about it largely in terms of the results that we've kind to-date are pretty good baseline for what will be out for a little while.
Paul Newsome: And then, could you just review where you are from a retain perspective on the property casualty side? Are you still taking rate across the board or particularly in auto?
Duane Sanders: Yes, this is Duane. Yes, we are certainly working that on a state-by-state basis, and you know we continue to look at, evaluate loss costs in those drivers and then general low levels of rate, but we're continuing to push it.
Operator: [Operator instructions] Our next question comes from Chris Campbell with KBW. Please go ahead.
Chris Campbell: First question is on the 43 million legal benefit. You guys left that in operating EPS or normally I consider that non-operating. So I know that was kind of a partial settlement of a bigger legal issue. I guess how are you thinking about that going forward, if there are subsequent settlements?
Jim McKinney: Chris, this is Jim McKinney. The way that I would think about it, the 36 million, the pre-tax we had about 28 million after tax, is really a recovery against some of the impairments that we took several years ago. Because of that and because of those impairments went through the operating results of that segment, the best performance of the segment overtime and individually is to include those. Now, we would recognize those essentially as kind of a one-time episodic issues, but when you think about the capital levels that are inside that business when you think about the overall results and other items, the right place to put those in order to match both the expense, both what it was previously and where it is today is included in that line item.
Chris Campbell: And then if you're thinking about…
Jim McKinney: The follow-up Chris -- the rest of that settlement, there was one big settlement and this was a partial. All the rest of it's going to follow the same path. That was the other side of your question.
Chris Campbell: Okay got it.
Jim McKinney: That's not a -- this isn't a decision on how we'll deal with any settlement ever. This is all following the one arbitration award that we won.
Chris Campbell: Okay, got it. Because you ran through operating earnings or you ran through operating earnings like with the impairments, so you're just running it back through because the…
Jim McKinney: Correct, it was written off years ago through there. So, we're undoing that with the arbitration award.
Chris Campbell: And then just kind of non-standard, so the net earned premium like on an average asset basis and thanks for providing those very helpful to put it the two businesses together. So that was up 18%, but if I look at the as adjusted expense ratio that was actually up by 10 bps. So, I guess I'm just trying to think as you're putting these two businesses together, does that mean, those there's no more expensive energies as we're thinking about this of at least on the non-standard side. I mean, it's running at a 16, which is like an awesome expense ratio. Just trying to think how low that could go?
Jim McKinney:
deck DAC: That was over a point. And so when you look at that line item, there's a timing difference that you would seen. Now overtime, that would be the same on us as there as you get to a normalized state. But for the next few quarters for some period of time here, you might see that 10 basis points, but that isn't about more expenses being or and that's just really a policy difference in terms of the Infinity versus kind of our own policy. Both which are appropriate.
Chris Campbell: Then just software proceeds, you guys have any plans for that. I mean are there potentials those could be used for buybacks?
Jim McKinney: Again, I'm going to point you to some of the comments that I made previously about capital. Our first priority is continuing to invest organically within the business and to look for options that would strategically enhance our operating profile and provide meaningful returns to shareholders. The second thing on that list is returning to a normalized debt level that we've indicated which is going to be low to mid 20s. So, we're looking at kind of the bank note, we look at the hybrid, we look at those instruments. And what you can expect is that we're going to do, what's in the optimal interest for shareholders from that perspective. Post that, we will look at any kind of access capital in that that we may have relative to growth and opportunities, and we will be thoughtful about it in terms of if there's access. And when we're unable to deploy that over some reasonable time, we would think about returning that to the extent that there is opportunities that we can create significant shareholder value for our stakeholders. We would look to deploy it in ways that would allow us to do that.
Chris Campbell: And then just a commercial auto, another as adjusted kind of expense ratio question. So, the 23.6 I think is higher than those even Kemper was operating and I know like Legacy Infinity was kind of a better more efficient vocal at least on an expense ratio basis. So I guess just should we think of now that the two commercial auto VOBAs are kind of merged together, it's going to look more like Kemper on the expense side or more like Infinity? And I mean, are there any re-classes that are impacting the, because there was also 600 bps of core loss ratio improvement year-over-year. So, are there a reclassification happening between expenses and loss ratios that could be throwing off?
Joe Lacher: So, there is a couple of things going on, I'll give you an overall comment and Jim is going to follow us with a little detail. On the expense of Chris, we have the same VOBA running through commercial vehicle. The Infinity book was significantly larger than Kemper's. So, that's going to be the overwhelming driver of the performance of the results just when you do -- if you just start with a simple weighted average that's going to be a driver. I would love to tell you on each and every one of these numbers there wasn't purchase accounting noise or other items in them. And I wish, they weren't there but they just wind up needing to be in this quarter. We were trying with the S4 and the 8K any to put some detail out there in advance to sort of preview where those were coming. The fact that the Infinity business was performing better than we had expected at the time of the transaction actually increases the VOBA increases this. That's a great first real problem to have that means the business is performing extraordinarily well and better than we all expected. But it creates a quirky little piece of noise in the expense ratio. It's going to be hard for you to pick this quarter's expense numbers on a line-by-line basis and use those in and of themselves as a basis for building models going forward. You're just going to get the wrong answer doing it that way. I think you've got to step back and look at some of the S4 from a projection sort of items to give me some guidance and can use some reasonable view of some premium weighting of each of the two organizations historical size. Infinity was 75% of the business and Kemper was 25%. That's a reasonable weight and then use the overall synergy number to adjust, if when you add up your model, you're getting some difference than the overall synergy number, you made a mistake like that, that's got to be the bias where that's I think the best math overall we can give you and I'll let Jim clean up whatever the non accounting just said.
Jim McKinney: Chris, you just point to what I said earlier about having a little bit of a difference in terms of the DAC. You've got kind of a point or two that's essentially kind of you -- just wouldn't normally have in there. It'll take a little bit of time for that to normalize. Long term, I would expect it really the Infinity book of business and the historical expense ratio is where I would expect it to trend. And there's not going to be you know a significant time period really before we probably where you kind of see that play out in greater degree. So, maybe in the remainder of this kind of quarter first half of next year, I would expect you to get to more of a normalized number.
Operator: Our next question comes from Marc Cohen with Guggenheim Partners. Please go ahead.
Mike Cohen: Joe, just a follow-up on that capital indication in respect to returning to debt-to-capital over the next six to nine months, would that be the liability management initiatives or through the retention of earnings and growth of equity capital?
Joe Lacher: I think it's largely the latter. You know we're expecting to grow the business and throw off earnings inside of the place or the business right now is growing at a particularly high rate which is again a very first real problem to have which is terrific. We're organically growing the business and that's a plus. So, we expect to deal with that. And then we've committed to rating agencies that will reduce that debt to capital loads going forward.
Jim McKinney: Just a follow-up. One item that I would just add to that and you've seen this is a part of our S4 and some of the other items. We had projected when we are bringing both Infinity and ourselves together that we would be using some of the excess capital that was inside Infinity to bring that level back to normalized state that we expect to happen kind of in the fourth quarter first quarter kind of -- the timing of an extraordinary dividend. And then from there forward it would be as Joe mentioned the additional retained earnings and other items that would bring us back to our normalized state. It's really those two activities that lead us there.
Marc Cohen: Great. I guess that's a great preamble to my next question. As of September 30, I think the holding company had about $19 million of cash or unrestricted capital at the holding company level. Is there a specific target of unrestricted capital at the holding company level you plan on maintaining to cover fixed charges and corporate expenses? And then a follow-up to that based on your three or four operating insurance companies. Can you discuss what the dividend capacity is following the transaction that would be ordinary dividends that would be upstream from those entities to the holding company?
Joe Lacher: Great. Lot of questions there. Let me try to pick them off one at a time and if I missed something it's not intentional, please just let me know that I missed it and we'll answer it. Big picture wise -- hold on one second -- yeah, great -- in terms of the target, generally speaking and what we've talked about with the market is that we intend to hold one year of operating cash flows different things at the Holdco in terms of our overall liquidity. That is obviously there to handle periods of stress or other or -- plan growth that we would then quickly follow-up and bring ourselves back to kind of normalized levels that we don't specifically put a target out there absent that we do have those internally. They do include other economic considerations and whatnot that we manage appropriately. In terms of the capacity that would be ordinary we've got about $16 million more in terms of the Infinity component. We've got about $20 million more in Trinity, and then we have the extraordinary dividend coming out that we've chatted about as it relates to Infinity that would go to the bank no loan repayment of $150 million.
Marc Cohen: And would that be a 2018 event or 2019 event on that extraordinary dividend from Infinity?
Jim McKinney: Generally speaking, I would expect it to be a 2018 event, but again we -- these things are dynamic to some extent and that we're always ensuring that we're doing the right things for the business.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Joe Lacher for any closing remarks.
Joe Lacher: Thanks operator, and thanks everybody on the call today for your time and your interest in Kemper. We look forward to updating you again next quarter. Have a great night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.